Operator: Good morning. My name is Scott and I will be your conference operator today. At this time, I would like to welcome everyone to the AGCO 2016 Fourth Quarter Earnings Release Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. Thank you. Greg Peterson, AGCO Head of Investor Relations, you may begin your conference.
Greg Peterson - AGCO Corp.: Thanks, Scott, and good morning. Welcome to those of you joining us for AGCO's fourth quarter 2016 earnings conference call. We will refer to a slide presentation this morning, which we posted on our website at www.agcocorp.com. The non-GAAP measures that we do use in the slide presentation are reconciled to GAAP measures in the appendix of the presentation. We will also be making forward-looking statements this morning, including demand, product development and capital expenditure plans, acquisition, expansion and modernization plans, and our expectations with respect to the cost and benefits of those plans and timing of those benefits, production levels, share repurchases and our future revenue, price levels, earnings, cash flow, tax rates and other financial metrics. We wish to caution you that these statements are predictions and that actual events may differ materially. We refer you to the periodic reports that we file from time to time with the Securities and Exchange Commission, including the company's Form 10-K for the year ended December 31, 2015 and subsequent Form 10-Qs. These documents discuss important factors that could cause the actual results to differ materially from those contained in our forward-looking statements. A replay of this call will be available on our website. On the call with me this morning are Martin Richenhagen, our Chairman, President and Chief Executive Officer; and Andy Beck, our Senior Vice President and Chief Financial Officer. And with that, Martin, please go ahead.
Martin H. Richenhagen - AGCO Corp.: Thank you, Greg, and good morning everybody. We appreciate everyone joining us on this call. My comments start on slide 3, where you can see that in the fourth quarter of 2016, AGCO's sales were up about 7% and for the full year, our sales were about flat. Our 2016 diluted adjusted earnings per share reached $2.47. In the year of challenging some fundamentals and weak industry demand, I'm pleased to tell you we met our financial goals, launched important new products, completed a strategic acquisition and made important investments to improve our product offering. Our cost reduction efforts are being balanced with our commitment to customer support and maintaining an aggressive sales and marketing presence. In 2016, we also generated $169 million in free cash flow, which helped support the funding of share repurchases of approximately $213 million and acquisitions that further strengthened our GSI platform. Despite the current market difficulties, our long-term view remains positive. In addition to dividend cost management, we will be concentrating on initiatives that will drive long-term benefits and raise the efficiency of our factories, improve our service levels and strengthen our product offering. Slide 4 details industry unit retail sales results by region for the full year of 2016. The past year was a challenging year for our industry and AGCO due to weakened market demand. The record grain harvest in the U.S., combined with the healthy crop production across Europe and Brazil, resulted in increased grain inventories and lower soft commodity prices. Deteriorating farm economics negatively impacted farmer sentiment, and we experienced lower industry equipment demand in all major markets. The farm equipment fleet remains relatively young in North America and industry retail sales in the row crop sector have declined through 2016. Sales of high-horsepower tractors, combines, sprayers and grain storage and handling equipment remained well below last year's levels. Industry retail sales in Western Europe have been more stable compared to 2015 levels. Profitability remains strained for dairy producers, hurting equipment demand, while lower commodity prices have kept market demand soft from the arable farming segment. Industry retail sales declines were most pronounced in France and Germany. Market conditions in South America were difficult during the first half of 2016. More recently, demand is stabilizing in Brazil, where solid farm fundamentals are beginning to overcome previous weakness caused by political and economic challenges. More supportive government policies in Argentina also have contributed to higher sales in that market. AGCO's 2016 production schedule for factory production hours is shown on slide 5. We lower the seasonal build in our company and dealer inventories during the first three quarters of 2016. The increase in the fourth quarter resulted primarily from the build of Tier 3 emission transition stock in Brazil. Production hours declined about 5% for the full year of 2016 compared to 2015. Expect production to be down modestly in 2017 versus 2016. Globally, our order book for tractors is down at the end of December 2016 compared to the end of December 2015. Orders were higher in South America and Asia/Pacific, and lower in North America and Europe. I will now turn the call over to Andy Beck, who will provide you more information about our fourth quarter results.
Andrew H. Beck - AGCO Corp.: Thank you, Martin, and good morning to everyone. I will start on slide 6, which looks at AGCO's regional net sales performance for the fourth quarter and full year of 2016. AGCO's sales increased approximately 9% in the fourth quarter, excluding the negative impact of currency translation of approximately 1.8% compared to the fourth quarter of 2015. AGCO benefited from the impact of acquisitions, which increased sales by approximately 3% and the strong growth in Brazil in the fourth quarter of 2016 compared to the fourth quarter of 2015. The Europe/Africa/Middle East segment reported an increase in net sales of approximately 2%, excluding the impact of negative currency translation compared to the fourth quarter of 2015. Excluding acquisitions, EAME sales were down about 1%. Sales declines in France were mostly offset by growth in the UK and Scandinavia. North American sales increased approximately 4%, excluding the unfavorable impact of currency translation during the fourth quarter of 2016 compared to the levels experienced in the fourth quarter of 2015. Excluding acquisitions, North America sales were about flat. AGCO's fourth quarter 2016 sales in South America increased approximately 54% compared to the fourth quarter of 2015, excluding positive currency translation impacts. Market demand in Brazil improved from very low levels in the fourth quarter of 2015 and growth in Argentina was also very strong. Net sales in our Asia/Pacific segment increased about 23% in the fourth quarter of 2016 compared to 2015, excluding the negative impact of currency. Significant growth in GSI sales in China accounted for most of the increase. Parts sales were $282 million for the fourth quarter of 2016 and were up about 6% compared to the same period in 2015, excluding the negative impact of currency. Moving to slide 7, it details AGCO's sales and margin performance. Our fourth quarter results were highlighted by solid margin performance in our Europe/Africa/Middle East and APAC regions, where gross margins improved during the fourth quarter compared to the same period in 2015. Consolidated fourth quarter operating margins were approximately flat compared to the fourth quarter of 2015. The benefits of higher sales and our ongoing efforts targeted at labor productivity and material costs were offset by a weaker sales mix and higher engineering expenses and other costs. The Europe/Africa/Middle East segment reported operating margins of 10.6% during the fourth quarter of 2016. The benefit of higher sales was offset by increased engineering expense. North America's operating margins were lower in the fourth quarter of 2016 compared to the same period last year. The negative impacts associated with lower production and weaker sales mix and other cost increases all contributed to the decline. Operating margins in the South America region were up on the extremely low levels experienced in the fourth quarter of 2015. The benefits of higher sales and production were partially offset by material cost inflation. Operating margins in the Asia/Pacific region improved significantly as production continues to ramp up in our new Chinese manufacturing facility. Slide 8 detail GSI sales by region and product. GSI sales were up about 18%, excluding currency impacts, but including the benefit of acquisitions that are reflected in the results for the full year of 2016 compared to 2015. Growth in protein production equipment was partially offset by declines in grain storage equipment across the regions. Excluding the positive impact of acquisitions, GSI sales were down approximately 6% on a constant currency basis. For 2017, we expect GSI sales to reach $1 billion. Slide 9 looks at the investments we have made in our business over the last decade through capital expenditures and research and development. After completing a number of major plant productivity projects, meeting Tier 4 emission requirements in both Europe and North America and making heavy investments in new products, we have reduced our CapEx and R&D programs during 2014, 2015 and 2016. We are continuing to make strategic investments to refresh and expand our product lines, upgrade our system capabilities and improve our factory productivity. For the full year of 2016, our CapEx totaled $201 million, a slight decrease from 2015. Our engineering expense increased to about 4% of sale in 2016. Despite the softer demand environment, we intend to increase the level of investment to execute our product development plans, resulting in increased FX and engineering spend in 2017. Our spending plan in 2017 is needed to maintain our competitiveness and to support the long-term growth of our business. Slide 10 addresses AGCO's free cash flow, which represents cash resulting from operating activities less capital expenditures. Free cash flow totaled $169 million for 2016 after funding the increase in South American inventory to build the necessary Tier 3 emission transition stock. As a result of the strong free cash flow that AGCO generated over the last few years, our balance sheet and liquidity position remain strong. After covering our increased spending on strategic investments, we are targeting free cash flow of $225 million to $250 million in 2017. At the end of December 2016, our North America dealer month supply on a trailing 12-month basis was lower for combines and high-horsepower tractors, while higher for all tractors due to inventory increases for the low-horsepower sector. Tractor inventories were over eight months and combines were about four months. Losses on sales of receivables associated with our receivable financing facilities, which are included in other expense net, is approximately $5.7 million during the fourth quarter of 2016 compared to $5.4 million in the same period of 2015. As we focus on returns for shareholders, we expect to make cash distributions an important component of our long-term capital allocation plan. Over the past three years, we have executed share repurchases of $1 billion, which has had the effect of reducing our share count by approximately 20%. With our current $500 million share repurchase authorization completed, our board of directors has approved the new $300 million program that expires in December 2019. Our current plans are to start modestly for 2017 as we assimilate our recent acquisitions, and then accelerate the program in 2018 and 2019. We're also committed to responsibly growing our dividend in the coming years. We expect to fund these programs with operating cash flow. Moving on to the next slide, slide 12, our 2017 outlook for the three major retail markets is highlighted. Our forecast is unchanged from our December Analyst Meeting. In United States, the USDA estimates farm income will be down 17% in 2016, and most experts expect 2017 to be another challenging year. Our 2017 forecast for North America has tractor sales down 5% to 10% compared to 2016. With a targeted decline in equipment demand, the large agricultural equipment sector in North America is expected to be down more than the low-horsepower equipment segment. In Brazil, stabilization in recent months of the government and financing program has led to improved demand. Economics for Brazilian farm – the farmers remain solid and as 2016 crop production was healthy and the majority of the Brazil crops are exported. With the higher sugar and ethanol prices, demand from these sugar producers has been improving. The Argentina market improved in 2016 as more farmer-friendly government policy and healthy crop production stimulated demand. Our South American industry forecast for 2017 assumes growth of approximately 10%. Lastly, we expect a modest decline in the Western European market. Farm income remains under pressure in 2016 and is expected to be below the long-term average. As we look into 2017, we expect demand to decline modestly due to weaker market conditions in the cereal markets. Curtailed production is starting to support milk prices and temporary subsidies by some EU countries may help demand in the important dairy sector. Slide 13 highlights the assumptions underlying our 2017 outlook. While we're optimistic about the long-term opportunities for our industry and our business, the priority for 2017 continues to be managing our costs, lowering our dealer and company inventories to better align our sales with current market demand. Our 2017 forecast assumes softer industry demand across North America and Europe, partially offset by growth in South America. Our plan includes market share improvement with price increases in the range between 1.5% and 2% on a consolidated basis. At current exchange rates, we expect currency translation negatively impact our sales by about 3%. Acquisitions are expected to increase sales by about 2.5%. In 2017, engineering expense is expected to run about 4.1% of our sales, which amounts to an increase of approximately $10 million on a constant currency basis compared to 2016. Operating margins were expected to improve by about 50 basis points due to the benefit of our fixed cost reduction efforts, as well as continued progress on our productivity and purchasing initiatives, partially offset by weaker sales mix. We're targeting an effective tax rate of approximately 40% for 2017. The increase in the tax rate will mostly significantly impact our first quarter result due to the timing in 2016 of our accounting change relating to U.S. deferred tax assets. Slide 14 lists our selected 2017 financial goals. We're projecting 2017 sales to be in the $7.4 billion range. We expect growth in operating margins to be improved from 2015, reflecting the positive impact of our cost reduction efforts, partially offset by weaker sales mix. Based on these assumptions, we're targeting 2017 earnings per share of approximately $2.50. We expect capital expenditures of $200 million to $225 million and free cash flow to range between $225 million to $250 million. As we indicated at our December Analyst Meeting, earnings per share in the first quarter of 2017 are expected to be significantly lower than reported for the first quarter of 2016, primarily due to higher income tax expense. We're expecting a loss between $0.20 to $0.25 per share in the first quarter of 2017. Absent the increased income tax expense, EPS would be approximately breakeven for the first quarter. And with that, operator, we're ready to take questions.
Operator: Your first question comes from the line of Nicole Deblase with Deutsche Bank. Your line is open.
Nicole Deblase - Deutsche Bank Securities, Inc.: Yeah. Thanks, guys. So I guess looking at 1Q, totally understand the tax issue. But I guess thinking about production, what's the expected year-on-year movement in production and how does that look from a regional perspective?
Andrew H. Beck - AGCO Corp.: Hi, Nicole. Our production looks to be down in the first quarter. We're having the impact overall of kind of getting off to a slower start in production in both North America and Europe. We're working again on our dealer inventories in North America. And in Europe, if you recall, the first quarter is quite strong last year and we expect it to be a little weaker here in the first quarter of 2017. Also in South America, production will be down because, again, we built forward some stock to transition our way through the 2017 change to Tier 3 and so that's giving us a lower production as well in Q1. So those are impacting our first quarter results. And so, as we mentioned, our tax rates should be much higher in the first quarter. As we said, our tax rate is going to be about 40% for the full year, but that's not a uniform 40%. It will fluctuate from quarter-to-quarter based on how we have to do the accounting for the U.S. tax rate. And as a result, that'll have us have a much higher tax expense in the first quarter and not be a benefit that we would – not be in line with the actual earnings in the first quarter.
Nicole Deblase - Deutsche Bank Securities, Inc.: Okay. Got it.
Martin H. Richenhagen - AGCO Corp.: There is, of course, the potential that the tax laws might change with a positive impact on AGCO.
Nicole Deblase - Deutsche Bank Securities, Inc.: Okay. Understood. Thanks, Andy and Martin. And then just as my follow-up, I guess in the North America business, I was a bit surprised to see it lose money this quarter despite the year-on-year revenue growth. So, can you just elaborate a bit on this and then maybe give us a sense of how North America margins might look in 2017?
Andrew H. Beck - AGCO Corp.: Sure. In addition, all year, we've been having lower margins in North America as it relates to lower production levels, product mix as we're – the high-horsepower sales are down, and those are the higher margin products. So those have been impacts throughout the year. In the fourth quarter, we also had higher costs in Q4, including a higher warranty for fourth quarter that addressed an issue that's now been rectified in our current production. So it was kind of a discrete item that was – should be onetime in nature. If you take out that cost, then we would have been much closer to our earnings in the prior year.
Nicole Deblase - Deutsche Bank Securities, Inc.: Okay. Got it. Thanks. I'll pass it on.
Andrew H. Beck - AGCO Corp.: Okay.
Operator: Your next question comes from the line of Andy Casey with Wells Fargo Securities. Your line is open. Andy Casey, your line is open.
Andrew M. Casey - Wells Fargo Securities LLC: Good morning. Thanks. Could you give a little bit more color on what Cimbria may have added to operating profit during the fourth quarter?
Andrew H. Beck - AGCO Corp.: Yeah. Cimbria in the fourth quarter is not one of their stronger periods. So, we had – I'm trying to get the numbers here. We had acquisition impacts of – in the fourth quarter of 2016 was about 3% overall, which was mainly the Cimbria business. In terms of earnings, those probably are just slightly positive. We had the higher amortization expense impacting as well. So, a little better than breakeven for the quarter.
Andrew M. Casey - Wells Fargo Securities LLC: Thank you, Andy. And correct if I'm wrong, some of that amortization expense should go away for 2017, is that right?
Andrew H. Beck - AGCO Corp.: Yeah. It does start to come back down. So we had amortization expense in the fourth quarter of $13.5 million. It should be – it'll probably be a little bit higher in the first quarter 2017 and then come back down to about $13.5 million for the rest of – excuse me – yes, $13.5 million for the rest of the year.
Andrew M. Casey - Wells Fargo Securities LLC: Okay.
Andrew H. Beck - AGCO Corp.: Excuse me, $15 million – it was – let me correct myself. I was looking at the wrong slide. It was $15.9 million for the fourth quarter 2016. It comes down a little in the first quarter, but stays a little higher, and then it should be the rest of the year about $13.5 million for second, third and fourth quarter.
Greg Peterson - AGCO Corp.: So we're looking at, Andy, about $55 million next year for amortization...
Andrew H. Beck - AGCO Corp.: Yeah.
Greg Peterson - AGCO Corp.: Or for 2017.
Andrew H. Beck - AGCO Corp.: Yes.
Andrew M. Casey - Wells Fargo Securities LLC: Okay. Thank you. And then for your comment in response to Nicole's question about North America, you referenced that absent that warranty charge, you would have been closer to the prior-year's operating profit. Does that pretty much imply that warranty accounted for about $11 million to $12 million headwind year-over-year?
Andrew H. Beck - AGCO Corp.: Yeah. That's about right.
Andrew M. Casey - Wells Fargo Securities LLC: And that goes away. That's contained in the quarter; should not continue into first quarter.
Andrew H. Beck - AGCO Corp.: That's right.
Andrew M. Casey - Wells Fargo Securities LLC: Okay. Thank you very much.
Operator: Your next question comes from the line of Jamie Cook with Credit Suisse. Your line is open.
Jamie L. Cook - Credit Suisse Securities (USA) LLC: Hi. Good morning. I guess my first question just on South America. Obviously, the sales will be pretty strong in 2017. But, Andy, just trying to get a feel for how you're thinking about profitability with production being down in the first quarter. We have Tier 4 costs I think that, at some point, you're going to have to be able to pass through. And just I think Martin said at the Analyst Day, the competitive environment had been pretty bad. So putting all those things together, how do you think about overall profitability? I guess that's my first question.
Andrew H. Beck - AGCO Corp.: Yeah. In terms of South America profitability, we expect the margins to improve in 2017 overall versus 2016. Some of the factors that you discussed are going to mute that to some extent. Particularly in the first quarter, we expect that the margins will just be slightly up because we do have lower production and we also have some advanced Tier 3 transition costs and marketing costs for the new products that we're introducing. So, our expenses are up higher in that first quarter. So, we'll just be slightly up in the first quarter and then you see better results kind of mid-single-digit margins for the rest of the year.
Jamie L. Cook - Credit Suisse Securities (USA) LLC: Okay. And then I guess just my second question, I know you've talked about getting the excess – you saw a little bit of excess inventory out of the channel. You're going to have – production is going to be down a little bit year-over-year. Martin, any chance you can talk about your confidence level that this is the last year that we get – we fixed the used inventory issue in 2017? I'm just trying to get a sense for how you're feeling about that as we transition to 2018.
Martin H. Richenhagen - AGCO Corp.: Well, I think in South America, it looks like it's – we would have bottomed out and therefore, let's say, because our inventories are in pretty good shape, we shouldn't have to face a similar problem next year. In North America, we can't, let's say – we hope that markets will be up, but it's not for sure yet. And Europe is very similar. So in Europe, I think the biggest potential we have in the markets, which went down so much last year, France and Germany.
Jamie L. Cook - Credit Suisse Securities (USA) LLC: Okay. Thanks. I'll get back in queue.
Operator: Your next question comes from the line of Larry De Maria with William Blair. Your line is open.
Larry T. De Maria - William Blair & Co. LLC: Hi. Thank you. Good morning. Just curious about – I know it's obviously the small segment, rest of world, but the cadence of the margins through the year and where we should think about that kind of run rate in sales and margins at some point when it's kind of mature because I know you're ramping up production on low-horsepower. So, any color on the rest of world, where that should be in terms of sales and margin run rate, and if that varies through the year very much?
Greg Peterson - AGCO Corp.: Yes, Larry.
Martin H. Richenhagen - AGCO Corp.: The opportunities in the rest of the world are certainly in Africa. We also, I think, have opportunities in China because this is a market we just start to enter, so there are opportunities to grow market share. And then, let's say you could be optimistic after what we heard so far from the administration about relationship between Russia and the U.S. that the Russian situation starts to normalize and that Russia could come back.
Larry T. De Maria - William Blair & Co. LLC: Okay. But with the ramp on the low-horsepower tractors, that ramp will be embedded in the individual segments as opposed to the rest of world then. Is that right?
Martin H. Richenhagen - AGCO Corp.: Yes.
Greg Peterson - AGCO Corp.: Yeah. And also, Larry, we will benefit some in the APAC region in the sense that some of those overhead costs from that region are going to be carried by the units that then get sold in the other regions. So we are looking for margin improvement partially because of that increased production as we introduce the Global Series tractor. So we're looking for APAC margins to be in the low 4%s probably in 2017. Some of that is, as I said, because of the Global Series production and then the rest of it is just development of that market, including some benefit probably from GSI. So...
Larry T. De Maria - William Blair & Co. LLC: Okay. But in other words, there's no major ramp in sales from the Global Series. That will be embedded elsewhere then. Got it.
Greg Peterson - AGCO Corp.: That's right.
Larry T. De Maria - William Blair & Co. LLC: Thank you.
Operator: Your next question comes from the line of Joel Tiss with BMO. Your line is open.
Joel Gifford Tiss - BMO Capital Markets (United States): Hey, guys. How's it going?
Greg Peterson - AGCO Corp.: Hey, Joel.
Martin H. Richenhagen - AGCO Corp.: Good.
Joel Gifford Tiss - BMO Capital Markets (United States): All right. So you guys always seem to give us conservative guidance and find a way to beat that guidance. So I just wondered if we could get a little bit of a sense of some of the areas that, in 2017, that could give us a little surprise to the upside. So, I guess you already mentioned to Larry Russia and China. Is there anything else in there where you feel like you don't really have as clear of a picture yet for 2017 that could end up being a little bit better?
Martin H. Richenhagen - AGCO Corp.: I think it's maybe the combine business in South America and then, of course, also I think some of our core markets in Europe could come back. So, therefore, overall I think – as you know us, so our plan wants to be realistic, less conservative. And so, we hope that we can continue with this addition also in 2017. We also have an important initiative in the area of cost reduction. We call it radical, innovative new thinking. So we are expecting further efficiency gains and productivity gains all over the company.
Joel Gifford Tiss - BMO Capital Markets (United States): Okay. And that was my other question. Can you give us a sense because you've been doing a lot of restructuring and changing the footprint for the last five years at least? And I just wonder, are there any sort of big steps left to do or is it more just tweaking at the margins?
Martin H. Richenhagen - AGCO Corp.: It's both. So we look into some radical bigger steps, but we also – let's say, a lot of the initiatives are smaller things and, let's say, our organization handles this very successfully.
Joel Gifford Tiss - BMO Capital Markets (United States): All right. Thank you.
Martin H. Richenhagen - AGCO Corp.: You're welcome.
Operator: Your next question comes from the line of Jerry Revich with Goldman Sachs. Your line is open.
Jerry Revich - Goldman Sachs & Co.: Hi. Good morning, everyone.
Martin H. Richenhagen - AGCO Corp.: Morning.
Greg Peterson - AGCO Corp.: Hey, Jerry.
Jerry Revich - Goldman Sachs & Co.: I'm wondering if you could talk about the GSI performance in China. It sounded like that drove most of the growth in Asia in the quarter, if I heard your remarks correctly. Andy, can you talk about it? Is that a discrete project win? What's the carryover into 2017 and how should we be thinking about it within the context of the segment guidance you laid out?
Andrew H. Beck - AGCO Corp.: Well, in terms of GSI for this year, our sales in the fourth quarter, GSI doubled from the year before. So, we had a really good result. We're seeing good momentum in the protein area in China. When we started that business, we were really getting in with U.S. companies that have moved to China to establish their operations. A lot of that now has – they pulled back out. And now, most of our business is with local producers of protein. And so, we had some slower years as we transition away from our – to the new customer base, but now we're being pretty successful. And so we're positive about the trends that we see in Asia overall with our GSI business as a result. For 2017, I think we're talking about improvement overall in our Asia business and part of that is also an increase in GSI. Certainly not doubling it again, but looking for further increases.
Jerry Revich - Goldman Sachs & Co.: Okay. And in terms of in South America, can you talk about where dealer inventories stand today? Obviously Tier 3 is going to drive some variation, but if we think about where dealer inventories stand before the Tier 3 pre-buy and compare that to historical levels, can you just flesh it out for us? How much room is there for dealers to normalize their inventories, excluding the Tier 3 transitional lumpiness considering how much that market has been down?
Greg Peterson - AGCO Corp.: Yeah, Jerry. So as, I guess, a preface to my comments, the inventory levels that our dealers typically carry in Brazil are much lower than what they would carry in Europe or in North America. So, any time we have inventory issues globally, it's typically not in Brazil. But as you talked about, the Tier 3 transition did lead to some increase in dealer inventories. We're up higher than normal just a little on the new, although it's kind of a mixed bag in that. On the use side, there's been a lot of interest and a lot of buying of the used equipment ahead of the Tier 3 transition. So, I would tell you that our used equipment is actually down some, a little lower than normal in Brazil and the new equipment is up a little from where it is normally.
Jerry Revich - Goldman Sachs & Co.: Okay. And lastly in South America, can you talk about your production plan over the course of the year? So, you mentioned production is down in the first quarter. When do you expect the increased production works better than your guidance?
Andrew H. Beck - AGCO Corp.: The production will ramp up throughout the year. So as we transition to the new production and we get rid of the transition stock, it'll come back. So, second half of the year, the production will be up from what we have in the first half on quarter-over-quarter. But relative to the prior year, you'll see it down because obviously a year ago, we were overproducing to build that stock particularly in the fourth quarter. So relative to last year, the second half will be below as well.
Jerry Revich - Goldman Sachs & Co.: Thank you.
Operator: Your next question comes from the line of Steven Fisher with UBS. Your line is open.
Steven Michael Fisher - UBS Securities LLC: Thanks. Good morning.
Greg Peterson - AGCO Corp.: Good morning, Steven.
Steven Michael Fisher - UBS Securities LLC: The Q4 revenues looked a little better than expected and I think you expected 2017 FX impact is slightly less than expected. What are the offsets that keep your total revenue forecast for 2017 just flat at $7.4 billion?
Andrew H. Beck - AGCO Corp.: Yeah. For the full year 2017, what we have is, as you said, currency is going to be a negative, about 3%. Acquisition should add about 2%. And then you have pricing of about 1.5% to 2%. So, what that implies is the industry declines that we're forecasting and we laid out are going to be offset for the most part by market share, new products, things like that, that gives us opportunity to improve our sales over and above what those industry declines that we indicated were.
Steven Michael Fisher - UBS Securities LLC: Relative to what you provided in December, it sounds like some of the headwinds might be a little bit less or some of the business performing a little better. That's just sort of rounding or a little conservatism or...
Andrew H. Beck - AGCO Corp.: Yeah. I'd say mainly rounding. And as you say, we did a little bit better at the end of this year than what we had expected. But for the most part, everything is pretty consistent. Assumptions are all very consistent with what we had. So no major changes.
Steven Michael Fisher - UBS Securities LLC: Okay. And then just one clarification. In terms of the North American profitability in 2017, do you expect the segment level to be profitable in every quarter?
Greg Peterson - AGCO Corp.: Except for the first quarter.
Steven Michael Fisher - UBS Securities LLC: Okay. So either of that will be down. It'd be negative in the first quarter. Okay.
Greg Peterson - AGCO Corp.: Right.
Steven Michael Fisher - UBS Securities LLC: Got it.
Greg Peterson - AGCO Corp.: And then for the full year, it'd be pretty similar from a margin perspective to what it was in 2016.
Steven Michael Fisher - UBS Securities LLC: Okay. Great. Thank you.
Operator: Your next question comes from the line of Tim Thein with Citigroup. Your line is open.
Tim W. Thein - Citigroup Global Markets, Inc.: Thank you. Good morning. First, Andy, for you, I guess. Martin had alluded earlier to some potential benefit to AGCO should some form of corporate tax reform be put forth in the U.S. and I get it at this point that's pure speculation. But just thinking about it from a high level, my thought was that you're not at least currently in a taxable or a positive taxable income generated in the U.S. Also my – I guess part two of that is just can you give us, even if it's just kind of broad parameters, your position from a net import versus export standpoint.
Andrew H. Beck - AGCO Corp.: Sure. You're basically right. We're currently in a loss position in the U.S., so any changes in the corporate tax rate wouldn't impact our results at this point in time. But obviously, as the market recovers, we expect to be back in a taxpaying position and then that would benefit our results. The other thing we're hoping to see is ability to bring cash back on a more readily or easier basis than before, and so that would certainly help us because we do generate a lot of cash overseas. So, we're watching those things very closely. On the import/export, we've looked at that and we're really very balanced. So, we do import product into the U.S., but we also are an exporter out of our factories into Canada and to our other markets around the world, and our net impact is basically neutral.
Tim W. Thein - Citigroup Global Markets, Inc.: Okay.
Martin H. Richenhagen - AGCO Corp.: So overall, let's say something around $400 million to $450 million on both sides, so imports and exports, with a slight – I think we export a little bit more than we import.
Tim W. Thein - Citigroup Global Markets, Inc.: Okay. That's helpful. And then just on the material cost side, I think you outlined at the Analyst Day about expectations for about $40 million of year-over-year benefit on the sourcing side. Obviously, there's been a couple of steel price increases not just in the U.S., but some of the other markets and I think there are some questions in terms of the sustainability of that, but just update us in terms of your expectations. Do you still feel confident in your ability to get that roughly $40 million?
Martin H. Richenhagen - AGCO Corp.: Yeah. I think you have to look at it in a way that it's not coming so much from price development and inflation and so on, but from our major efforts in the area of platform solutions, which give us a certain tailwind.
Tim W. Thein - Citigroup Global Markets, Inc.: Okay. So net of any steel and other material cost increases, you're more than able to offset that, I guess, is the...
Martin H. Richenhagen - AGCO Corp.: Yeah.
Andrew H. Beck - AGCO Corp.: Yes. So the way we – that $40 million that you're referring to was a savings that we target every year and that's compared to what normal inflationary cost would be. So what we want to do is beat the material economics by $40 million. And so that our assumption is that we can price for the normal economics that we see, steel prices and other increases, and then have that better performance on what actually comes that we capture in our material costs and that should help us get our margins improved.
Tim W. Thein - Citigroup Global Markets, Inc.: Okay. Understood. Appreciate it.
Operator: Your next question comes from the line of Ann Duignan with JPMorgan. Your line is open.
Ann P. Duignan - JPMorgan Securities LLC: Hi. Good morning, guys.
Greg Peterson - AGCO Corp.: Good morning, Ann.
Andrew H. Beck - AGCO Corp.: Hey, Ann.
Martin H. Richenhagen - AGCO Corp.: Good morning, Ann.
Ann P. Duignan - JPMorgan Securities LLC: Just I wanted to circle back on Joel's comments about setting the bar low and beating Martin. It doesn't go unnoticed that part of your variable compensation is based on a target EPS and anything below that, competition goes down. Have there been any changes to any of the variable comp metrics as we go into 2017?
Andrew H. Beck - AGCO Corp.: No. Go ahead, Martin.
Martin H. Richenhagen - AGCO Corp.: No, no. Go. Go, Andy.
Andrew H. Beck - AGCO Corp.: Okay. No, all the metrics are the same. Our bonus objectives are based on net income, free cash flow, operating margin and a quality metric that we – it's called as a non-financial metric on quality that we measure.
Ann P. Duignan - JPMorgan Securities LLC: Yeah. Okay. Good to know there's no change. And then from an end market perspective, we see what's going on in the dairy industry in Europe; we see what intervention has done to drive milk powder and European Union's inability to put it back on the market. Can you talk about perhaps France and Germany individually and what your expectations are for both of those countries in 2017 in terms of equipment sales?
Martin H. Richenhagen - AGCO Corp.: Well, as I said, I think countries like France, Germany and some of the Scandinavian markets might have a little upside potential, but it's too early to talk about it. So the dairy industry in Europe in general is a difficult one as you know. Maybe it – and it depends a little bit on what the various countries are doing. So, on one end, you have the EU regulations and subsidies. On the other hand, you have countries trying to do something on top of that. So I think the initiatives, which are in place in Germany by the new Secretary or Minister of Agriculture, so far work.
Ann P. Duignan - JPMorgan Securities LLC: Okay. And what's your current outlook for both of those countries then if you think there may be some upside to your outlook?
Greg Peterson - AGCO Corp.: Baked in...
Martin H. Richenhagen - AGCO Corp.: Yeah. Go on.
Greg Peterson - AGCO Corp.: Yeah. Baked into our forecast for sales for 2017, kind of low- to mid-single-digit declines in Germany and France.
Ann P. Duignan - JPMorgan Securities LLC: Okay. Thank you. I'll get back in line.
Operator: Your next question comes from the line of Joe O'Dea with Vertical Research. Your line is open.
Joseph John O'Dea - Vertical Research Partners LLC: Hi. Good morning. It looks like what you're talking about with the different components of revenue drivers that about a point of contribution from market share gains. Could you just talk about kind of what you achieved in 2016 and then where you think you'll get the biggest contribution of those gains? I think you've previously commented on some pretty competitive pricing in South America, so maybe not there, but where the share gains are going to be kind of most beneficial.
Andrew H. Beck - AGCO Corp.: Yeah. The share gains that we're getting where we're outperforming the market, we did quite well in North America in 2016. A lot of new products we introduced, particularly the Global Series helped us. But we did well in all sectors. In Europe, we also outperformed a number of markets. And then, as you can see from the sales results in our Asia region, we're also seeing higher sales. And so all those are contributing. As you point out South America, more competitive. We're not seeing that market share growth there at this point in time.
Joseph John O'Dea - Vertical Research Partners LLC: Okay. And then on Europe in the quarter, we saw some pretty steep declines in the registration data year-over-year, your performance far better than that. So, can you talk about just a little bit of the disconnect and just where, I guess, inventory levels are in Germany and France, whether you can put that in context with months of inventory and how that compares to the past few years?
Andrew H. Beck - AGCO Corp.: Sure. There were some anomalies relating to registration reporting between the third and fourth quarter, so you have to kind of look through that. I would recommend that you look more what's happened for the full year. And as we pointed out, the market was down modestly for the full year. And so, I'm not sure. Certainly, fourth quarter was strong for France in 2015 and was much weaker because of the fact that they had just put in some tax incentives for farmers. And so, that should kind of clear out as we look at 2017. In terms of our performance, that's looking at registrations, our shipments to dealers are a little more uniform. And as we look at our dealer inventory, we think it's in pretty good shape in Europe. Dealer inventory looks to be down in both France and Germany and that's a good sign for us.
Joseph John O'Dea - Vertical Research Partners LLC: Okay. Thank you.
Operator: Your next question comes from the line of Mike Shlisky with Seaport Global. Your line is open.
Michael David Shlisky - Seaport Global Securities LLC: Good morning, guys. I want to touch briefly on the interest cost in the fourth quarter here. They were up a bit. There's some new debt obviously on the books, but is the roughly $15 million we saw here the appropriate run rate for 2017?
Andrew H. Beck - AGCO Corp.: Let's see.
Michael David Shlisky - Seaport Global Securities LLC: Sorry, it's $18 million. Sorry.
Andrew H. Beck - AGCO Corp.: Yeah. It was about $18 million. What's become down a little in the first quarter, I would say that our run rate is going to be more like $14 million, $15 million on average.
Michael David Shlisky - Seaport Global Securities LLC: Okay. Got it. And then, secondly, it looks like your income from your financing JV kind of hung in there in 2016. Given what's going on right now in the markets, can that be sustained thinking through 2017 for the full year?
Andrew H. Beck - AGCO Corp.: Yeah. We have that being pretty flat year-over-year.
Michael David Shlisky - Seaport Global Securities LLC: Okay. That'll do for me, guys. Thank you so much.
Andrew H. Beck - AGCO Corp.: Thank you.
Operator: That was our final question for today. Mr. Peterson, I will turn the call back over to you.
Greg Peterson - AGCO Corp.: Thanks, Scott. We appreciate everyone's participation today. And if you do have follow-up questions, I encourage you to get back in touch, and have a great day.
Martin H. Richenhagen - AGCO Corp.: Thank you, guys.
Operator: That concludes today's conference call. You may now disconnect.